Operator: Welcome to The First of Long Island Corporation's Second Quarter 2024 Earnings Conference Call. On the call today are Chris Becker, President and Chief Executive Officer; and Janet Verneuille, Senior Executive Vice President and Chief Financial Officer. Today's call is being recorded. A copy of the earnings release is available on the corporation's website at fnbli.com and on the earnings call webpage at https://www.cstproxy.com/fnbli/earnings/2024/Q2. Before we begin, the company would like to remind everyone that this call may contain certain statements that constitute forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are subject to risks, uncertainties, and other factors that may cause actual results to differ materially from those contained in any such statements, including as set forth in companies' filings with the U.S. Securities Exchange Commission. Investors should also refer to our 2023 10-K filed on March 8th, 2024 as supplemented by our 10-Q for the quarter-ended March 31, 2024, for a list of risk factors that could cause actual results to differ materially from those indicated or implied by such statements. I would now like to turn the call over to Chris Becker.
Chris Becker: Thank you. Good afternoon, and welcome to The First of Long Island Corporation’s earnings call for the second quarter of 2024. I'm pleased to report linked quarter improvements in many key financial ratios and financial statement line items including: increase in return on assets; increase in return on equity; improvement in efficiency ratio; growth in deposits; growth in loans; higher non-interest income; lower non-interest expense; higher net income; higher earnings per share; and most importantly, increase in net interest margin. After six consecutive quarters of net interest margin declined from 2.97% for the three months ended September 30, 2022 to 1.79% for the three months ended March 31, 2024, our margin increased to 1.8% for the three and six months ended June 30, 2024. While not a substantial move up, certainly a positive indicator for stabilization. Repeating what I stated last quarter, barring any significant changes in our funding mix or short-term rates moving higher, we believe on an interest margin should be at the bottom. The pace of interest earning assets repricing was basically in line with the pace of interest bearing liability repricing during the second quarter of this year, and that trend is expected to continue, if not improve, in the quarters ahead. Managing the mix of the balance sheet will augment margin improvement and coupled with a more favorable yield curve, this improvement can accelerate. Talk of lower short-term rates is encouraging for continued earnings growth moving forward. The bank had stronger loan originations during the second quarter, closing $70 million with a weighted average rate of approximately 7%. Second quarter originations were driven by C&I and owner-occupied commercial mortgages, highlighting our focus on relationship-based business. Originations during the second quarter continued the progress made remixing our loan portfolio from consumer to commercial that began in 2020. During that period, relationship-based C&I and owner-occupied commercial mortgages increased 80%, and other commercial real estate increased 30%. In total, our commercial lending business has grown $582 million. That growth has been masked by letting our residential lending business amortize down by $514 million over the same period. Building our commercial relationship business has also resulted in an improved mix on the funding side as non-interest-bearing deposits represented 30% of our funding mix at June 30, 2024, compared to 25% on December 31, 2019. In the current environment, I believe it's important to note that our remix to commercial lending has not included any significant increase in multifamily loans outstanding. Our multifamily loans totaled $868 million at the end of the second quarter of 2024, up minimally from $835 million at the end of 2019. The June 30, 2024 pipeline was $137 million with a projected average rate of approximately 6.75%. Please keep in mind that many loans in the pipeline are floating off an index plus a margin until the closing, so the weighted average rates move with the market. The pipeline has increased from the end of the first quarter when it was at $113 million. We have been closely monitoring rate resets and have provided detailed information in that regard in a Form 8-K filed on March 1, 2024, supplemented by additional information in our annual shareholders meeting presentation on April 16, 2024. During the second-half of this year, based on rates as of June 1, 2024 we have $65 million of multifamily and non-owner occupied commercial mortgages repricing with a weighted average rate of 4.24% before the rate reset and a projected weighted average rate of 7% after the rate reset. Looking forward into 2025, based on rates as of June 30 2024, we have $122 million of multifamily and non-owner occupied commercial mortgages repricing with a weighted average rate of 3.53% before the rate reset and a projected weighted average rate of 7.02% after the rate reset. For loans with projected cash flow stress, we have started to reach out to borrowers to discuss options for their consideration. Our criticized, classified, past due, non-performing, and charge-off levels all remain low, and we currently assess our credit quality as strong. On June 28 2024, we opened a branch on the North Fork of Long Island in Suffolk. We believe this location will be a great complement to the rest of the East end of Long Island presence that we established over recent years, including Riverhead, Southampton, and Eastampton. We currently have 41 branches covering Nassau and Suffolk counties in the boroughs of Manhattan, Queens, and Brooklyn. Our branch count is down from a high of 52 branches at the end of 2019, but our total deposits have increased by approximately $220 million over that period, a much more efficient model. We continue to evaluate prospects for geographic expansion, as well as efficiencies within our existing branch network. Our company has been around for nearly a century because we stay focused on the fundamentals of strong credit quality and meaningful customer relationships. We believe our fundamentals have built and will continue building a strong franchise. Growth and margins have been challenged over the past 18 months, but we remain optimistic about future opportunities to build shareholder value. Janet Verneuille will now take you through financial highlights of the quarter and year-to-date. Janet?
Janet Verneuille: Thank you, Chris. Good afternoon, everyone. Following up on some of Chris's comments, positive trends quarter-over-quarter included the following: an increase in return on assets from 0.42% to 0.45%, and increase on return on equity from 4.72% to 5.15%, increase in net interest margin from 1.79% to 1.8%, improvement in the efficiency ratio to 73.6% from 76.5%. Although these are slight improvements, they can be forward-facing indicator of the trending stabilization of our net interest margin. Coupled with the recent heightened market anticipation of a Fed funds cut in September, we expect to maintain this trend. The company recognized net income of $4.8 million for the second quarter of $4.4 million for the linked quarter, and $6.9 million for the same quarter last year. Earnings per share were $0.21 for the quarter, equal to the per share dividend declared by our Board of Directors in June of 2024. EPS for the linked quarter and the same quarter last year were $0.20 and $0.31 respectively. The increase from the linked quarter was largely attributed to the increase in net interest income by $270,000 and decrease in salaries and employee benefits of $474,000, primarily due to decreases in employee incentive accruals. These are partially offset by a $570,000 provision for loan losses. The decline from the second quarter of 2023 is largely attributed to the decrease in the net interest income by $3.4 million, a $570,000 provision for loan losses partially offset by a decrease in the provision for income tax expense of $1 million attributable to lower earnings and a decrease in the effective tax rate. Non-interest income of $2.9 million exceeded non-interest income recorded in the linked quarter of $2.8 million and the same quarter last year of $2.7 million. Improved results from service charges on deposit accounts, merchant card services, and bank-owned life insurance were the main contributors to the increase. Management had guided in analyst calls to quarterly non-interest income totals of approximately $2.6 million. Based on deposit account service charge collection improvements after our system upgrade, management currently believes recent increases in monthly service charge revenue will remain stable. Although merchant card service income can fluctuate, we now expect for the last two quarters of 2024, these revenues will trend consistent to the first two quarters. Non-interest expense totaled $15.8 million for the current quarter as compared to $16.2 million in the linked quarter and $16.5 million in the same quarter last year. Earlier in the year, management had guided an analyst's calls to quarterly non-interest expense totals of approximately $16.25 million. We did have some open staffing positions during the second quarter, but we also lowered the incentive compensation accrual rates. We anticipate non-interest expenses for the last two quarters of 2024 will be comparable to the first two quarters. During the second quarter, we used excess cash to pay down about $143 million of wholesale borrowings, leading to a smaller leveraging of the balance sheet of $46 million, even though we had deposit growth of $37 million and loan growth of %14 million. Loan growth was better than the number reflects as C&I loans increased $27 million and commercial mortgages increased by $15 million. Commercial growth was offset by the residential mortgage decreasing $27 million as we continued to remix the loan portfolio toward commercial lending. The overall loan yield of $4.22 was up 8 basis points quarter-over-quarter. The second quarter saw a notable increase in average non-maturity interest-bearing deposits of $85 million and certificates of deposit of $15 million. Average non-interest-bearing checking deposits increased by $11 million and represent 33% of total deposits. The weighted average cost of interest-bearing non-maturity deposits was 2.84% and for CDs it was 4.24%. As of the close of the second quarter, the repricing of wholesale funding, FHLB borrowings, and brokered CDs to current market rates remained largely behind us. Although at a slower pace, we continue to approve upward interest rate adjustments based on the overall customer relationship. The purchase of the fixed-to-floating swap in March of ‘23 continues to pay dividends, adding $1.2 million to the net interest income in the second quarter. Swap matures in March of 2026. Net interest income for the second quarter of 2024 increased $270,000, compared to the linked quarter and decreased $3.4 million from the same quarter last year. Our net interest margin of 1.8% for the second quarter of 2024, compares to 1.79% for the linked quarter and 2.17% for the same quarter last year. Yield on total interest earning assets was 4.16% for the second quarter, 4.8% for the linked quarter, and 3.78% for the same quarter last year. Cost of total interest-bearing liabilities was 3.56% for the second quarter of 2024 3.47% for the linked quarter, and 2.51% for the same quarter last year. The allowance of credit losses as of June 30, 2024, was $28.5 million. The provision was booked to the ACL of $570,000 during the quarter. The quarterly provision was largely due to $276,000 specific reserve on one non-performing loan and about $421,000 of net charge-offs. The reserve coverage ratio at June 30, 2024 remained flat at 0.88%, compared to the linked quarter. The capital position remains strong with a leverage ratio of approximately 9.9% at June 30, 2024. Book value per share was $16.71 at June 30 versus $16.22 at June 30, 2023. The accumulated other comprehensive loss component of stockholders' equity is mainly comprised of a net unrealized loss and available-for-sale securities portfolio due to higher market interest rates. There were no share repurchases in the second quarter of 2024. The effective tax rate for the second quarter of 2024 decreased to 1.6%, as compared to 6.2% for the linked quarter. The annualized effective tax rate is now expected to be approximately 4%. The change was due to a reduction in 2024 projected income, with the rates staying higher for longer than anticipating, causing a greater impact of the tax exempt items on the effective tax rate. With that, I turn it back to our operator for questions.
Operator: Thank you. Our first question for today comes from Mark Fitzgibbon from Piper Sandler. Mark, please proceed with your question.
Mark Fitzgibbon: Thank you for taking my question, and good afternoon, happy Friday.
Chris Becker: Hey, good afternoon, Mark.
Mark Fitzgibbon: If the Fed follows the forward curve, and we see two more cuts this year, I'm curious how much you think the net interest margin might be able to snap back by the end of the year?
Chris Becker: Well, in a previous call, you know, we had indicated that each 25 basis point cut could improve margin by, you know, 4 to 5 basis points, and we haven't updated that in further. So that still seems to be a pretty good estimate.
Mark Fitzgibbon: Okay. And then secondly, I was curious, you know, credit obviously here is terrific, but what drove that $1.8 million uptick in non-performing loans? And could you also share with us what net charge-offs were in the quarter?
Chris Becker: Yes. Net charge-offs were a little over $400,000 for the quarter. And it was one loan that went non-performing where we took, that's the loan that had the specific reserve and had a partial charge-off down to the appraised value. The charge-off is about $175,000.
Mark Fitzgibbon: Okay and what type of loan is that?
Chris Becker: That was a multifamily loan. That's our only multifamily loan in non-performing.
Mark Fitzgibbon: All right, and then I heard the numbers that you mentioned on the call about multifamily and non-owner occupied commercial real estate that's rolling from sort of you know 4.25%, up to 7% or 3.5% to 7% on the $122 million. I guess I'm curious -- have you guys done an analysis that sort of looks at whether the cash flow on those buildings will be sufficient once the rate basically doubles?
Chris Becker: Yes, absolutely. We've looked at every loan from -- that's repricing between now and the end of 2025 to calculate their repricing rate and their cash flow. And that's where I'd mention anything that's showing some possible stress, we're reaching out in advance to those customers to see what type of strategies we can do to help relieve any of that stress. We've had success in that regard. We've had situations where the borrower has refinanced early and paid down. We've had other situations where we've gotten additional pieces of collateral by combining two loans into one, one that had stronger cash flow, one that maybe was showing signs of stress at the reset to combine them to make the cash flow better overall. So borrowers have been receptive to us reaching out early and because obviously they don't want to get into a situation, and especially if there's a current option for a rate that might be a little bit less than what they would reset at, say, five or six months down the road.
Mark Fitzgibbon: Okay. And then the last question I had was around the tax rate. I heard, Janet, your comments, the effective rate for the year will be around 4%. What will it look like in 2025? Like, what's sort of a normalized run rate for you all?
Janet Verneuille: Well, assuming that income goes up, the effective tax rate will go up, obviously, because the tax exempt items will be a smaller percentage of income. I hesitate to give a number, I don't know. Maybe I'd say, I don't know, probably maybe about 7%, I would estimate at this point, but really it's going to depend on where income comes in and how we manage those tax exempt items.
Mark Fitzgibbon: Great. Thank you.
Chris Becker: Thank you, Mark.
Operator: All right. Our next question for today comes from Chris O'Connell at KBW. Chris, please proceed with your question.
Chris O'Connell: Hey, good afternoon.
Chris Becker: Hi, how are you doing, Chris?
Chris O'Connell: Good. Just wanted to start off with, you know, you provided the multi-family and non-owner occupied CRE repricing in the second-half of the year. Just curious, how much of the multifamily and non-owner occupied repriced in the first-half of 24?
Chris Becker: Yes, it was -- it's similar to what's going on in the second. I don't have that number right in front of me, but it was very similar to what's repricing in the second-half.
Chris O'Connell: Got it. And, you know, as far as the funding side goes with CDs are up probably pretty close to market rates at this point. I mean, how much more do you think has left to reprice upwards in the second-half of the year?
Janet Verneuille: There's very little bit. We just had one small piece that repriced that was at a low rate on the brokerage side. And as far as the retail CDs, they're pretty much at market. I would say it's a minimal what's left to reprice to market rates.
Chris O'Connell: Got it. So, I mean, I'm just curious because you did have a decent amount of CD repricing, especially kind of earlier in the year, as well as the borrowings. Why not a little bit more positive on the margin and the interim between now and when rate cuts begin, given that it seems like similar asset repricing on the other side of the balance sheet?
Chris Becker: Yes, I think as we looked at the second quarter, it was pretty well even as far as what repriced on both sides of the balance sheet. And we still have on the non-maturity side in our money market deposit accounts, you still have those one-off relationship discussions and we still had some increase in those rates throughout the second quarter and I think that's why we're still you know being a little a little cautious on this. You know we're looking closely at those, but you know there's still -- that that's where the numbers still went up for us in the second quarter.
Chris O'Connell: Got it. And on the loan growth, it sounds like, you know, pipelines are up, improved, you know, the past couple of quarters, good originations. Are you still thinking, you know, inclusive of the residential plan drawn off on net low-single-digit growth for this year?
Chris Becker: Yes.
Chris O'Connell: And if you're getting into, if we're getting into a rate cutting environment as we get towards the back of 2024 to 2025. Is that residential strategy, do you think that will continue or moderate if there's less funding pressures and lead to higher kind of net loan growth into 2025?
Chris Becker: It will continue. We don't plan to begin originating residential mortgages. We stopped originating them towards the second-half of last year. We don't plan to begin originating them. Now, we may consider purchasing loans if we wanted to have some diversification in the portfolio, but we really want to focus on continuing to grow the relationship-based C&I and owner-occupied commercial mortgages. If you look at our loan portfolio pie chart, that's still the smallest slice while it's up from a low of 7% a handful of years ago to about 12% or so now. Ideally, we'd like four equal buckets of multi-family, other commercial real estate relationship, C&I and owner occupied and then residential. So the residential still has a ways to go to get down to that quarter, if you look at those four pieces of the pie. And at that point, we would possibly consider, as I said, buying some residential.
Chris O'Connell: Got it. That's helpful. And then as you guys have reached out to what you said in the multifamily customers and the ones that look tight. Any sense of how big that customer segment is either on a percentage basis of the book or on a dollar amount even if it's you know kind of just ballparking?
Chris Becker: Yes, I can tell you it's for the remainder of this year it's six loans. So it's a small number of borrowers.
Chris O'Connell: Great. And as you guys start to see the margin come up and get a little bit more comfortable with the overall earnings and profitability profile here in the back after the year into 2025, do you think you start to revisit the buyback conversation?
Chris Becker: Yes, I certainly think that, that's something. I mean, we did buy back some stock in the first quarter of this year. That's something we look at every quarter along with the dividend and make those decisions. But certainly we have $13 million still under the buyback program that we have outstanding. So absolutely, we would look at that.
Chris O'Connell: Great. Appreciate all the color. Thanks, Chris, Janet. Great quarter.
Chris Becker: You're welcome.
Janet Verneuille: Thank you.
Operator: All right. Thank you. This concluded our question-and-answer session. I will turn the floor back to Chris Becker for closing comments.
Chris Becker: Yes, thank you for your attention and participation on the call today. We remain focused on making the right decisions to increase shareholder value over the long-term. I thank our employees for their continued dedication to service our customers and communities. Enjoy the upcoming weekend.